Operator: Good morning and welcome to the AutoZone conference call. [Operator instructions.] This conference call will discuss AutoZone's fourth quarter financial results. Mr. Bill Rhodes, the company's chairman, president, and CEO, will be making a short presentation on the highlights of the quarter. The conference call will end promptly at 10:00 a.m. Central time 11:00 a.m. Eastern time. Before Mr. Rhodes begins, the company has requested that you listen to the following statement regarding forward-looking statements.
Unnamed company Representative: Certain statements contained in this press release are forward-looking statements. Forward-looking statements typically use words such as believe, anticipate, should, intend, plan, will, expect, estimate, project, positioned, strategy, and similar expressions. These are based on assumptions and assessments made by our management in light of experience and perception of historical trends, current conditions, expected future developments, and other factors that we believe to be appropriate. These forward-looking statements are subject to a number of risks and uncertainties including without limitation credit market conditions; the impact of recessionary conditions; competition; product demand; the ability to hire and retain qualified employees; consumer debt levels; inflation; weather; raw material costs of our suppliers; energy prices; war and the prospect of war, including terrorist activity; availability of consumer transportation; construction delays; access to available and feasible financing and changes in laws or regulations. Certain of these risks are discussed in more detail in the Risk Factors section contained in Item 1A under Part 1 of our Annual Report on Form 10-K for the year ended August 29, 2009 and these risk factors should be read carefully.
Operator: Mr. Rhodes, you may begin.
Bill Rhodes: Good morning, and thank you for joining us today for AutoZone's fiscal 2010 fourth quarter conference call. With me today are Bill Giles, executive vice president and chief financial officer, store development and IT, and Brian Campbell, vice president, treasurer, investment relations, and tax. Regarding the fourth quarter, I hope you've had an opportunity to read our press release and learn about the quarter's result. If not, the press release, along with slides complementing our comments today, is available on our Web site, www.autozoneinc.com. Please click on "quarterly earnings conference calls" to see them. We are very pleased to announce for the quarter an EPS increase of 27.7% and a domestic same-store sales increase of 6.7%. This marks the seventh consecutive quarter of EPS growth in excess of 20% and the 16th consecutive quarter of double-digit EPS growth. Back in May, on our third quarter conference call, we spoke cautiously about our sales potential heading into the new quarter. We were concerned about difficult comparisons and unsure of our customers' buying inclinations. What transpired, and how we executed, provides us encouragement heading into our new fiscal year. While our industry remains strong, we were encouraged by our results for three reasons. According to NPD data, we gained both dollar and unit share across both of our customer segments, retail and commercial. Our commercial business has demonstrated strong momentum by achieving accelerated growth each quarter during our fiscal year, ending with a 20% increase in sales for the fourth quarter, our highest increase in several years. And lastly, we completed the remainder of our hub store conversions well ahead of schedule. Additionally, we did all of this while delivering exceptional customer service as evidenced by the continued improvement in customer satisfaction survey scores. While average ticket improved more than transactions, both showed solid positive trends for the quarter. Last quarter, we mentioned items we felt contributed to our strong sales results. This quarter we believe our results benefitted from macro factors which included an extremely warm summer across most of the U.S., combined with cost-conscious consumers looking to save money. Those, supplemented by our company's specific initiatives, such as increased inventory availability through our hub store network, our customer service initiatives, and our commercial sales force continuing to build trust with their professional installer accounts, all resulted in our strong sales performance. We are kicking off our new fiscal year with our 2011 national sales meeting here in Memphis this week. This year, consistent with prior years, we've invited our senior field leadership to Memphis to celebrate our very strong financial and operational performance, launch our theme for 2011, and reiterated the key priorities for our organization. Let me say while I'm proud to share our results with you on the phone today, I'll be even more excited later today by being able to greet and thank the AutoZoners who delivered this from across North America for their efforts to deliver this exceptional year. To be able to celebrate growing same-store sales 5.4% on top of a 4.4% increase last year, and growing EPS 27.7% on top of 20% last year, is an achievement I will enthusiastically celebrate with our AutoZoners. We simply continue to execute and we need to say thank you and congratulations to our organization. These results are their results, and they should take great pride in their performance. At our sales meeting we're going to announce our 2011 operating theme, "One team, going the extra mile." The emphasis this year is on one team, and will focus on incorporating our store-level commercial and retail business models more seamlessly. While we've been streamlining our information systems to make it easier for store AutoZoners to service all our customers, we'll look to build on this theme further in 2011 with improved technologies around B2B, continued improvements to commercial Z-Net, ongoing catalog enhancements, and better parts availability across the chain, all in order to sell it right and keep it sold. But the real emphasis and benefit of our "one team" approach is that every customer deserves an exceptional experience when they interact with us. The attitudinal shift throughout our organization regarding giving every customer a great experience is really making a difference. We'll also introduce our 2011 key priorities: great people providing great service, continual improvement in our hub strategy, leveraging the internet, profitably growing commercial, ever-improving inventory management, and improved product assortments. These should sound remarkably familiar, because they are. Our focus continues to be on the basics and executing those basics at an extremely high level. We'll recognize our best managers with a celebratory event and say thank you and congratulations. But we cannot, and will not, rest on our laurels. We must continue to execute. We'll focus on continuing our share gains in retail while driving to new highs in commercial. We'll recognize our team for opening 160 net new domestic stores, a 3.8% growth rate, and our Mexico team for opening 50 new stores in 2010, the highest opening level ever, and a 27% store growth rate. And we'll recognize our ALLDATA team for growing their business yet again in 2010. Look, through boom and bust cycles, our organization has performed well and our financial performance has been strong. I attribute this solid financial performance to our business model and our culture. We're passionate, highly committed people, understand the strategies, and consistently execute at an extremely high level. Our team understands this industry, and manages our resources very well. We have been very deliberate in how we manage expenses and capital in order to deliver consistent, strong financial performance and position our business for long-term growth. Additionally, I would like to congratulate the organization for delivering on three additional key financial measures. First, AutoZone achieved 100% accounts payable to inventory for the first time in company history and actually exceeded that metric, ending at 106%. While we've talked about this metric as a goal for several years, this year we accomplished it. I congratulate our merchandising organization and many other parts of the organization who contributed to this effort. Secondly, the company generated over $1.1 billion in operating cash flow. Over the last 10 years we've doubled this number - no small accomplishment. And we should highlight another strong performance in return on investment capital, as we were able to grow this metric to 27.6% on a trailing four-quarter basis, which represents another new all-time high for our organization. While we invested over $300 million in capital expenditures this past year to make sure our stores look great and to expand our footprint, we've continued to expand our returns on invested capital. We will always maintain our diligence regarding capital stewardship. This morning we announced that Jim Shea, executive vice president, merchandising, marketing, and supply chain customer satisfaction, will be retiring at the end of the month. Jim joined AutoZone 6 years ago after a very distinguished career with several other retailers. During his tenure here, he has made significant contributions throughout many parts of the organization. I would like to personally thank Jim for his passion and commitment to the success of this great organization, and especially for his leadership. Jim has worked very hard to develop his organizations and their leaders, and although we will certainly miss him, due to his efforts we have the individuals in place to continue to ensure our prosperity. On behalf of all of our AutoZoners, we wish Jim and his wife Sue all the best in their very well deserved retirement. Now I will discuss our quarterly performance in a little more detail and try to address questions you may have. Let me begin by discussing category sales. In recent quarters we've provided more detail on the performance of our categories. For the purposes of this discussion, we have separated our categories into three groups. In total this past quarter, the category of merchandise we describe as "failure" grew at over 12% versus "maintenance" growing at 7% and "discretionary" growing at 5%. "Failure" represented 45% of the sales mix versus "maintenance" 38% and "discretionary" 17%. "Discretionary's" percentage mix declined from 18% in the fourth quarter of last fiscal year. While we've provided this level of detail for a few quarters now, we believe the story remains the same year over year. With the sales increasing, we have not seen consumers change their buying measures. People are continuing to look to AutoZone in order to save money repairing and maintaining their vehicles during this difficult financial time. Regarding our mix of good-better-best category sales, we continue to see traction with customers buying our "better" and "best" lines. We believe people appreciate the enhanced product quality and extended warrantees they're buying when they buy "up" in these select categories. From a regional perspective, based on NPD market share data, we continue to see market share gains in both retail and commercial in virtually every major geographic segment. We recognize that our competitors, both large and small, are strong, and therefore it remains incumbent on us to continue to execute at an extremely high level and continue to enhance our offerings to deliver a differentiated customer experience. As I mentioned earlier, we have several initiatives underway at various stages, but I would like to highlight the performance of our hub store enhancements. Last year we implemented an enhanced hub model in 60 of our 143 hubs. This portion of our enhanced model focused on increasing the frequency of delivery from hubs to satellite stores. I'm very happy to say this morning we converted the remaining hub stores, a total of 35 this quarter, well ahead of our initial plans. Therefore, all 143 hubs are now converted. And we also opened 2 additional hub stores this past quarter. We now have 145 hub stores. We believe our enhanced hub initiative has dramatically improved customer service. By increasing the frequency and reach of our daily deliveries to satellite stores, we are saying "yes" more frequently to both retail and commercial customers while optimizing inventory. While this initiative represented a material investment both in terms of operating expenses and some capital, the sales results encouraged us to continue to accelerate our efforts. The incremental parts additions that now are sold throughout the surrounding satellite stores are both exceeding plan and adding to the overall sales performance of the hub store and its market. Our earliest hub conversions, which began back in 2008, continued to experience sales growth as we refined the assortment and the operating model. Obviously hub conversion was one of many initiatives that we implemented, so specifically quantifying the benefits of the hubs in isolation is difficult. Some people might ask, what's the next step with your hub store efforts? Our next step is to ensure that our hub stores are adequately sized to support the related demand of their satellite stores and to ensure they are located in the optimal place. Therefore, over the next few years, we plan to expand or relocate many of our hubs, which we believe are currently undersized or are not optimally located. We are in the very early stages of quantifying the number of locations that need to be expanded or relocated. We do not anticipate this to have a material impact on our annual capital expenditures. Long-term, this will allow us to add inventory in select markets that will drive sales for both our retail and commercial businesses. Additionally, this enhanced hub model is still relatively new. We continue to test revisions to our product assortment in our hubs. By leveraging our current hub network, we have been able to reduce slow-moving inventory in satellite stores by consolidating it into the hubs with an overall net reduction. This has helped us achieve an inventory reduction per-store to $498,000, from $506,000 just last quarter. While this reduction helped working capital this past year, I do expect inventory levels to increase over time, as we believe there remains inventory addition opportunities across most car part categories. Overall, though our gross margin rate remained healthy and showed improvement this quarter, we continue to feel margin opportunities exist for us in the near term. We continue to believe there are opportunities to increase gross margin rate over the long term. From an expense standpoint, we continued to accelerate some of the initiatives that we have been testing or rolling out to the chain in order to ensure that we are in a position to deliver great customer service and trustworthy advice, both in the short and long term. While our operating expense percentage growth has increased over the last 2 years, we have been purposefully investing these dollars to position the company for future sales growth. We have maintained our disciplined hurdle rate on these investments, and we remain on track with our projections. This organization takes great pride in our disciplined approach to managing our cost structure and leveraging our culture of thrift, and we remain committed to drawing back expenses if warranted. We continue to be well positioned to manage our cost structure for the foreseeable future. Now I'll take a few moments to talk more specifically about our retail, commercial, and Mexico results for the quarter, and then Bill Giles will review our gross margin results, operating expense results, balance sheet, and cash flows. For the quarter, total auto part sales increased 9.6% versus last year's fourth-quarter 7.1%. This segmentation includes both our domestic retail, and commercial businesses and our Mexico stores. Regarding our domestic business, during the second quarter we continued to focus on driving sales and profits through improving the customer experience. This quarter we completed category line reviews in 30 of our 40-plus major merchandise categories, and we completed line reviews for all merchandise lines, in every major category, again this year. Our category coverage remains a key priority heading into the new fiscal year. Additionally, I would like to thank our suppliers for their support in helping us to achieve our results this past year. Their dedication and commitment to our model and our customers has allowed us to grow sales materially over the last two years. I'll break my comments regarding retail sales up into a couple major categories. In addition to my previous comments regarding our enhanced hub store model, I'd like to address two specific other areas. First, we'll touch on recognition and training initiatives this past quarter, and second we'll address the macro trends we've seen. Training continues to be a key priority to improve customer service and increase sales. This past quarter was no different. We focused on our "sell it right" initiative across our stores, and backed up the training with our new "coaching for success" program to energize our AutoZoners, all with a goal of better customer service while continually improving retention rates. Every quarter, our job is to improve upon our customer service levels. In an era where so many retails have gone to self-checkout and reduced customer interaction, we take personal interaction with our customers very seriously. We know that our customers want to get in, get what they need, and get back on the road. But they are most often looking for friendly, trustworthy advice. Therefore, we've developed comprehensive training materials to make sure our AutoZoners are doing everything they can to help the customer do the job right the first time. We remained committed to providing [unintelligible] customer service through improvements in all facets of our store level execution during the fourth quarter. Regarding macro trends, during the fourth quarter unleaded gas prices started at $2.91 a gallon, and steadily fell throughout the quarter, finishing at $2.68. Last year, gas prices climbed throughout the fourth quarter, from $2.24 to $2.61. We believe gas prices have not been a material story to our sales results over the last quarter, although we have seen encouraging signs of price declines as of late. Miles driven remains less of a story to our near-term sales results than in previous years. This past quarter, May was slightly negative, while June was up 1.3%. While recently we have seen minimal correlation in our sales performance with miles driven, historically it has been one of the key statistics which correlate to our sales results over the long term. The other is the number of seven-year-old and older vehicles on the road, which continues to trend in our industry's favor. Regarding weather, we believe it had a material positive impact on our results, as the country experienced much warmer weather than the previous year. For the trailing four quarters, auto parts sales per square foot were $246. This statistic continues to set the pace for the rest of the industry. Now let's turn to commercial. For the quarter, total commercial sales increased 20.2%. As I mentioned before, this was our highest growth rate in several years, and the team demonstrated solid momentum throughout fiscal 2010. We remain encouraged by the consistent progress we have made, demonstrated by the continued acceleration in our sales performance over the past several quarters. Our sales growth has come from both existing and new customers. As we continue to increase market share, we continue to enhance our selling capabilities and improve our parts offerings. For many previous quarters, we talked about testing and studying to identify a growing scalable commercial business strategy. Today, we're confident in saying we like our model for the future. We believe we can grow revenues in both existing stores and even begin to experiment with opening additional commercial programs at a measured pace. With improved tools in place, combined with constant enhancements, we're building a platform for long-term growth. We now have our commercial program in 2,424 stores supported by 145 hub stores. During the quarter we opened 85 additional programs. A majority of these openings happened in the back half of the quarter. commercial programs are now operating in 55% of our domestic stores. While we have opened more commercial programs this year than in recent years, our primary focus in 2011 continues to be on growing sales in existing programs. Our main focus remains on building and developing our sales force. We congratulate our sales force of 200+ for their commitment to growing relationships across the country. This sales force continues to be expanded, but the most significant focus is on continuing to grow and mature our sales team as it remains relatively new. The majority of our business remains with up-and-down-the-street customers who are independently owned repair shops. Additionally, we continue to work closely with our national account customers and have developed a strong business relationship with many of them. We remain committed to growing this business profitably, and are constantly focused on ensuring that our investments are resulting in improved sales and profitability. While we were successful in growing both operating margins and dollars for our commercial business, we did increase our investments in this business. We continue to add to both our sales managers, whose primary job it is to develop and cultivate customer relationships, and to commercial store labor hours to ensure high levels of service to these important customers. We believe more intense personal focus on existing account management will drive continued, improved results. We continue to be very excited about our commercial growth opportunities for many years to come. Lastly, we completed our rollout of Z-Net for commercial, that better leverages the wealth of content we have available and creates a common operating system platform that is considerably more intuitive across both businesses. We rolled this technology to our entire domestic chain this quarter. While improvements to the systems will continue to be implemented throughout 2011, we believe this technology improves the potential of utilizing our store labor hours more effectively, thereby garnering better coverage and support for both types of customers. While we continue to be encouraged by the feedback we've received from our AutoZoners, we understand it will take time for them to utilize this technology to its fullest extent. This will be a key priority for us heading into 2011, and we promise to keep you abreast of any material developments. In summary, the commercial business had a great 2010, and we are very excited as we start 2011. Our Mexico stores continued to perform well, although the economic and security challenges in Mexico have been a headwind for our business. We opened 26 new stores during the fourth quarter, and currently have 238 stores in Mexico. We believe we have an appropriate strategy to manage our Mexico business for the long run, while minimizing foreign currency risk. Our ongoing commitment remains to prudently and profitably grow the Mexico business. Now I'll turn it over to Bill Giles to discuss the remainder of the income statement, cash flows, and the balance sheet.
Bill Giles: Thanks Bill. Regarding the fourth quarter, for the 16 weeks ended August 28, we reported sales of $2.445 billion, an increase of 9.5% from last year's fourth quarter. In domestic same-store sales, or sales for stores open more than one year, we're up 6.7% for the quarter. We experienced strong sales growth from both our retail and commercial customers. Net income for the quarter was $269 million, an increase of 13.9% versus last year's fourth quarter, and diluted earnings per share increased 27.7% to $5.66 from $4.43 in the year-ago quarter. Our continued disciplined capital management approach resulted in return on invested capital for the trailing four quarters of 27.6%. We have, and will continue to make investments that we believe will generate returns that significantly exceed our cost of capital. Gross margin for the quarter was 50.5% of sales, up 20 basis points compared to last year's fourth quarter. The improvement in gross margin benefitted primarily from leveraging distribution costs due to higher sales. This generated 26 basis points of favorability. Looking forward, although we believe there continues to be opportunity for gross margin expansion, it is important to highlight that we do not manage to a targeted gross profit margin percentage but rather on absolute gross profit dollars. SG&A for the quarter was 31.2% of sales, down 43 basis points from last year's fourth quarter. The reduction in operating expenses as a percentage of sales reflected leverage of store operating expenses due to higher sales, partially offset by increased legal costs and continued investment in our hub store initiative. In addition, as discussed in the last three quarters' results, this quarter also included an increase in pension expense of approximately $3.8 million or approximately 16 basis points, which reflected the decline in value of the underlying assets of the plan. It is our expectation pension expense will not be a material basis point headwind in 2011. We will continue to appropriately manage our expenditures to enhance the customer experience while being fiscally prudent. EBIT for the quarter was $473 million, up 13.2% over last year's fourth quarter. Our EBIT margin improved to 19.3%, or 63 basis points versus the previous year's fourth quarter. Interest expense for the quarter was $49.4 million, compared with $47.8 million in Q4 a year ago, a 3.5% increase. This increase was due to 6.7% more debt outstanding versus last year. As a reminder, interest expense is higher in our fourth quarter, as there are 16 weeks during this quarter versus 12 in quarters one through three. Debt outstanding at the end of the quarter was $2.9 billion, or approximately $180 million more than last year's balance of $2.7 billion. Our adjusted debt level is at 2.4 times EBITDAR, in line with past quarters' results. As we have previously stated, our objective is to manage our debt levels to maintain our investment-grade debt rating, and we feel comfortable that we are well within an appropriate range to achieve that objective. While in any given quarter we may increase or decrease debt levels based on management's opinion regarding debt and equity market conditions, we remain committed to both our investment grade rating and our capital allocation strategy and share repurchases are an important element in that strategy. For the quarter our tax rate was approximately 36.5%, above last year's fourth quarter of 36.2%. We expect to be closer to 37% on an ongoing basis. Net income for the quarter of $269 million was up 13.9% versus the prior year's fourth quarter. Our diluted share count of $47.5 million was down approximately 11% from last year. The combination of these factors drove earnings per share for the quarter to $5.66, up 27.7% over the prior year's fourth quarter. Relating to the cash flow statement for fiscal year 2010, we generated $1.196 billion of operating cash flow. As Bill said earlier, this was a record for AutoZone. We continue to remain focused on increasing operating cash flow heading into 2011. We repurchased $565 million of AutoZone stock in the fourth quarter and at the end of the quarter we had $185 million remaining under our share buyback authorization. We continue to view our share repurchase program as an attractive capital deployment strategy. We repurchased $1.1 billion of stock this past year on top of the $1.3 billion last year. [unintelligible] to date, we've $8.7 billion of our stock back. Accounts payable as a percent of gross inventory finished the quarter at 106% versus 96% in last year's fourth quarter. I'll second Bill's previous congratulations to the organization for achieving this self-created milestone, but our organization will not rest. We will continue to push ourselves to improve upon this level. Next, I'd like to update you on our inventory levels in total and on a per-store basis. We reported an inventory balance of $2.3 billion, up 4.4% versus the Q4 ending balance last year. On a per-store basis, based on a combination of 100% AP to inventory, and a lower gross inventory per store, we achieved our first-ever negative inventory per-store number, a negative $28,000 per store. We feel our enhanced hub model will allow us to continue to manage our inventory levels more efficiently. We do, however, expect to offset some of these inventory reductions with new hard parts coverage. Net fixed assets were up 7% versus last year. Capital expenditures for the quarter totaled $135 million and reflected the additional expenditures required to open 107 new stores this quarter, maintenance on existing stores, and work on development of new stores for upcoming quarters. As we would rather purchase land than rent locations, our capital expenditures were higher this past year, as we were successful in finding better prices in line of the difficult economic times. Specifically related to new store openings, our new store openings have performed well throughout the year and we continue to see opportunities to open domestic stores and a low- to mid-single digit growth rate for the foreseeable future. We believe opening stores during these more difficult economic times can be advantageous. On a projected new store sales-per-store basis, our performance is exceeding planned expectations. We feel very comfortable with our projection capabilities in this marketplace. We opened 80 new domestic stores in the quarter for a total of 4,389 stores in 48 states, the District of Columbia, and Puerto Rico. Depreciation totaled $62.2 million for the quarter versus last year's fourth-quarter expense of $57.2 million. Our senior unsecured debt rating from Standard & Poor's is BBB and we have a commercial paper rating of A-2. Moody's Investor Services has assigned us a senior unsecured debt credit rating of Baa2 and a commercial paper rating of P-2. And Fitch has assigned us a senior unsecured rating of BBB as well, and a commercial paper rating of F-2. Now I'll turn it back to Bill Rhodes.
Bill Rhodes: Thank you Bill. Before we conclude, I wanted to take the opportunity to reflect on fiscal 2010. Our organization performed extremely well for the year, both operationally and financially. I'm extremely pleased with our accomplishments, and I'd like to recap a few of those key accomplishments in recognition of the dedication, passion, and commitment of our AutoZoners. We built on last year's strong same-store sales results, growing at 5.4% versus last year's 4.4%, our best two-year comp performance since 2002-2003. We continued our focus on developing the commercial business and grew commercial sales by nearly 14% for the year with accelerating sales performance in each quarter of fiscal 2010. We grew market share in both our retail and commercial businesses. We opened a total of 213 stores, including 50 stores in Mexico. We grew EBIT dollars by 12% and EPS by 27.6%, on top of 20% last year. This EBIT margin of 17.9% represents a new all-time high. Our return on invested capital reached a record 27.6% for the year. We exceeded $1.1 billion in operating cash flow for the first time. We achieved our previously stated goal of 100% AP to inventory, ending at 106%. We repurchased stock representing over 10% of the current market capitalization of the company for the second year in a row. And, probably the most important of all, our AutoZoners continued to dedicate themselves to providing the industry's best customer service. Their dedication is what makes our organization great. Our major objectives for 2011 will sound remarkably familiar. They are: "great people, providing great service," continual improvement in our hub strategy, leveraging the Internet, profitably growing commercial, ever-improving inventory management, and improving our product assortment. Clearly, in 2010 we had macro factors that positively contributed to our success. However, our organization was well-positioned and prepared to capitalize on these favorable trends. How long will these factors positively influence our performance? We simply don't know the answer. But we do know that we have been able to very effectively manage our business regardless of the economic cycle, as evidenced by our string of 16 straight quarters with double-digit EPS growth. Again, our business has performed well for many years now, but we cannot rest, and we will not rest, and you have our commitment that we will never do that. Finally, before we move to Q&A, I want to again thank and congratulate our entire organization for their dedication to our customers, their fellow AutoZoners, stock holders, and our communities. It remains a distinct honor to work alongside this fabulous team. Now we'd like to open up the call for questions.
Operator: [Operator instructions.] Our first question comes from Alan Rifkin, Bank of America. Your line is open.
Alan Rifkin – Bank of America: Congratulations on a great quarter and year. Question for Bill Rhodes. Bill, your gains on the commercial side clearly are accelerating, yet at fiscal year-end, as you pointed out, the commercial program is only in 55% of your stores, which is a similar proportion as last year. I know you said that you continue to view greater opportunities in growing sales in existing programs. Can you just elaborate a little bit on why you don't see more opportunities to add commercial programs to already existing stores?
Bill Rhodes: I might articulate it differently, Alan. Personally, I do see opportunities to add it to additional stores and as we mentioned, we've added it to I think 84 in the quarter, primarily in the back half. Everything we do we test it, and that's our initial test into taking it to the next level of expansion. But our primary focus remains on making the programs that we have in place - we have over 2,400 of them - how do we make them as productive as they can be? And so I want to be very careful not to distract from the progress we're making in those existing programs by getting the organization so focused on expansion of these programs. I do believe they will come in time. I do believe we'll do it the AutoZone way, which will be prudent, and it will be profitable. But we're beginning that expansion, because I think the organization is in a place now where we can begin to accelerate that a little bit.
Alan Rifkin: Okay, and one follow up if I may. With respect to the hub rollout, obviously the acceleration and completing the program at fiscal year-end suggests that you're obviously very satisfied with the results. How are the stores that were supported by the original 60 hubs added in fiscal 2009 performing relative to the 80-plus hubs that were added this past fiscal year?
Bill Rhodes: First of all, all of the hubs continue to grow and continue to grow at a very healthy rate, even the five test stores that we opened I believe in fiscal 2008 continue - them and their satellite stores - continue to perform very well and frankly all of them continue to exceed our expectations. So we couldn't be really more pleased with the progress that we're making in the hub stores, and the beauty of it is we talked a little bit in the prepared remarks, about we're going to be relocating some of those over time. We're doing as well as we are and we still have significant amounts of those stores that are constrained. They don't have the size to have the parts assortment in them that we want. So over time we'll be expanding those. And that will give us additional benefit in the future.
Operator: Our next question comes from Gary Balter, Credit Suisse. Your line is open.
Simeon Gutman - Credit Suisse: Hi this is Simeon Gutman for Gary. The company has done a fairly good job and a fairly consistent job flexing expense dollar growth with sales growth, actually, throughout last year. As fiscal 2011 starts, in light of the continued strength in demand, are there thoughts to accelerate investments in the business to take advantage of some of that growth?
Bill Giles: I think actually I think we've done a good job over the last year or two of continuing to make investments that we believe will continue to improve customer service and continue to capture market share. The hubs are, as Bill articulated, are great example of some of the investments along with training and a handful of other things that we continue to do. Now we'll begin the anniversary of some of those investments as we get into 2011. We believe that there's more opportunity for us to continue to make investments - again just to highlight the hubs as Bill mentioned as an example. There's a real opportunity for us to be able to expand the size of many of the hubs that exist today. There's an opportunity for us to actually relocate some of the hubs to more optimum locations. So there's continued investment to be making from that standpoint. Our "one team" strategy, the investments that we made both in the commercial Z-Net, will continue through 2011. So there are investments to be made, but we'll continue to moderate those investments in light of our overall sales performance. But what we feel really good about is the position that we are in heading into 2011. We've made some great investments in both fiscal year 2009-2010 and we think we're very well-positioned as we head into 2011.
Simeon Gutman: Okay, and then can you provide any additional color on the Z-Net commercial? I mean we've seen the system in place and I realize there's a lot of things happening in commercial now and it's hard to separate out one sales benefit from the other, but besides ease-of-use benefits, have there been any noticeable trend differences in stores that have had the software -
Bill Giles : It's very new. We've launched this in the fourth quarter and so it's really in very early stages, but it will provide a lot of efficiencies from the store and from the store's perspective, and it will be able to really be able to leverage the benefits of everybody in the store being able to service, not just commercial customers, but all of our customers. And so the real theme is being able to have one unit within a store being able to service both our retail and our commercial customers on an ongoing basis.
Bill Rhodes: If I may add something there, our old commercial order management system was very much designed for commercial but it was very cumbersome. In fact it took 21 specific steps at one point in time to order a part. We've refined it over the years, but now with commercial Z-Net, there's four steps to order a part and three of them are the exact same steps that you take when you are working with the DIY customer. So it makes it significantly easier for anybody in the store to work in the commercial program, which means we'll give better service to our customers.
Operator: Our next question comes from John Lawrence, Morgan Keegan. Your line is open.
John Lawrence - Morgan Keegan: Just quickly, Bill can you – going back to the examples on the commercial program, can you go back and look at those early stores and talk a little bit - what you've learned from the system side of handling the inventory in those hub stores over the course of time, and knowing what to put in those hub stores and how is that inventory creep if you will? What have you learned from a leverage standpoint there?
Bill Rhodes: You know, it's really interesting, John. We've been very pleased with the performance of the incremental inventory that we have added. We've added hundreds of millions of dollars of inventory over the last three years and primarily focused on late model coverage. And it has benefited our commercial programs significantly, but to our very much surprise, it has benefited DIY very well as well. Approximately two-thirds of the sales that go out from that incremental inventory go out through DIY. So it's great for both parts of the business, and not only do we add all that inventory, but our inventory per store is actually down. So we've been able to take unproductive inventory out of the system in totality, and we have been able to move slower-moving inventories back to the hub stores themselves. We think there's still a lot of work to be done there, both on adding new parts and also refining the placement of which part should be in the satellite stores versus the hub stores.
John Lawrence: And Bill, would you comment - just your comments regarding new store performance, would you go to next layer there and give us a sense of - obviously, your entry cost is coming down as far as in this environment finding those locations? Then number two, with the success of the macro-environment, what kind of differences are we seeing in that first-year performance versus say, two or three years ago?
Bill Giles: I would say that we are definitely finding opportunities to get in the markets in a little bit more aggressive way than we have previously. And clearly some of that is the macro-environment being in our favor. So we've been successful on that front. I would say from an overall performance standpoint, you know, that the company overall has had a very strong performance, and that somewhat is getting reflected in the new store opening performance as well. And so I think the new stores are benefiting from some of the investments and some of the changes that we've made, as well as some of the tailwind that we're getting from an industry perspective as well. So I think you can think about it that way as the new stores are being more productive certainly than they were a couple of year ago. Some of that is industry-related and some of that is probably real estate-related as well.
John Lawrence: And that would exceed the normal sort of comp rate that we're seeing?
Bill Giles : We're certainly doing better than we'd planned from a new store perspective.
Operator: Our next question comes from Matt Fassler, Goldman Sachs. Your line is open
Ryan Brinkman - Goldman Sachs: This is Ryan Brinkman for Matt Fassler. First question, how much is front-end pricing, perhaps driving some of the comp sales we're seeing? For example, what sort of trends are you seeing in the area of motor oil and related products?
Bill Giles : I would say very little. I'd say that from a commodity-based pricing, we certainly haven't seen any ups on that one. If anything is probably a little bit of a headwind for us from that perspective. But if you look at the front end overall, I'd say that retail pricing is certainly not of a storyline relative to our overall comp performance.
Bill Rhodes : Yes, if you look at the on-shelf price of the standard, conventional motor oils, they've actually gone up some. But the vast majority of what we sell is through promotions, and those promotional prices really haven't changed.
Ryan Brinkman: And can you talk a little in terms of the impact that the rising mix of commercial sales might be having on total margins?
Bill Giles : Yeah, I think that obviously the commercial business, as we've articulated in the past, has a slightly lower margin, obviously from the return on invested capital. It's very accretive. There's very little investment relative to launching a commercial program. But it does have a little bit of impact on our overall margins, and having said that, our margins are up 63 basis points for the quarter.
Ryan Brinkman: Then just the last question, I know you've targeted a 100% payables ratio. How sustainable in your view is a payables ratio above 100%?
Bill Rhodes : I don't think the goal is 100% anymore. I think the goal goes up from here. Certainly our plan for fiscal 2011 is higher than it is today. So I don't think it's not only sustainable, I anticipate it'll grow over time.
Operator: Our next question comes from Dan Wewer, Raymond James. Your line is open.
Dan Wewer - Raymond James: So Bill, AutoZone leads the industry in virtually every performance metric. The one area that you have a lot of headroom is commercial. You've talked a lot today about the investments that you've made. When you look at your commercial sales per store, it looks like there's probably $200,000, maybe a bit more than that, before you would begin to reach the level of your competitors. With the investments that you've made, do you now have the resources to take your commercial sales per store up to around $600,000? If not, what else needs to happen?
Bill Rhodes : I think it's an excellent question and I think the general answer is yes. The more specific answer is we have a great sales force that's in place now. We've been growing it over the last year and we continue to expect to grow it over time. Candidly, I don't think we know yet what the right ratio is for a territory sales manager on a per-store basis and that will change as we continue to refine it. But generally the vast majority of the investments are in place, unless we find additional investments that drive accelerated performance. I think we have a very bright future for a long period of time. We certainly understand that we are fifth in this business, and we don't like being fifth, but at the same time I am very pleased with the progress that our commercial team has made over the last couple of years.
Dan Wewer : When you look at the 20% commercial growth, was this primarily moving from number six to number five on the call list from your commercial accounts? Or was there success in adding new accounts for those stores that already had commercial programs?
Bill Rhodes : I'd first start with I think we are number one on a lot of customers' call list, and we're not on a lot of customers' call list. I think the vast majority of what we have done is grow with our existing customers. We have grown with new customers and frankly we've lost some customers and we got to go back and regain those customers, but our trends in both new customers and in retention are both increasing and that's encouraging.
Operator: Our next question comes from Greg Melich, ISI. Your line is open.
Greg Melich - ISI: I wanted to move on to follow up on the cash flow and the AP-to-inventory and think about how that actually impacts the business? CapEx - it sounds like it could come down a little bit this year, just given the changes you made in the hubs are behind us, just want to confirm that or get a number. And then two, if we keep taking AP-to-inventory to 110% or 120%, does that change your view in terms of building stores, just given the building stores becomes at least a working capital positive cash flow event?
Bill Giles: I would take the CapEx first. I would not necessarily see CapEx expenditures coming down. In fact, many of the things that we did from a hub perspective over the last year or so are mostly operational in nature and being able to deliver to stores three times a day. And some of the things that we're talking about in the future will probably have some CapEx associated with them relative to expanding the size of the hubs, as well as relocating the hubs. So there will be some incremental CapEx expense associated with that. And we don't anticipate our overall CapEx program, between number of stores, and maintenance, and those kinds of things, and regular investments into the business, changing. So our expectation is CapEx would be consistent and probably increase as we move forward. Relative to working capital on new stores versus AP-to-inventory, I think we kind of separate those two things. I mean, we believe that we're getting great productivity out of our new stores. Currently we hold ourselves to an IRR hurdle rate for all our new stores, and so as long as they achieve those hurdle rates we'll continue to expand stores. We don't feel as though that new stores are constrained by capital necessarily. We believe that we're growing them at an appropriate pace for the organization, [unintelligible] to digest and for us to be able to find locations in the marketplace. So we will continue to do that, and we'll continue to manage and optimize working capital across the board. And AP-to-inventory is perfect example of our ability to be able to do that. And there will be other areas, but AP-to-inventory is one of that again, as Bill mentioned, we hit a milestone of [100%]. That's behind us and now we'll move on to more milestones.
Greg Melich: As you broke through that milestone, what really changed versus, say, just a year or two ago? Was it different vendors? Or just buying more volume from the same vendors? Or just longer terms with everybody?
Bill Giles: It's a lot of different things and to be able to get there, and to exceed 100%, obviously those wheels need to be in motion a year or so ago. And so the merchandising organization, along with several others in the organization, have worked hard at this, and it's certainly not something that happened in one quarter or two quarters. It's probably been worked on very hard over the last eight quarters, and this is the culmination of a lot of work. But it includes both partnering with some of the vendors in terms of terms. It also includes inventory productivity. Inventory turn is up a little bit. I think the complexion of our inventory is actually healthier and stronger today, and so there's a lot of those factors that go into account to get us to an AP-to-inventory ratio of plus-100%.
Operator: Our next question comes from Kate McShane, Citi Investment Research. Your line is open.
Kate McShane - Citi Investment Research: I was wondering if you had any additional comments into some of the customer acquisitions that you've made on the commercial side as to what some of the commentary has been from your customers as to why they're switching and going to AutoZone versus a competitor?
Bill Rhodes : Kate, I think it's a wide range of reasons why they shift, and one thing in this business is a customer does not have a sole supplier. So, it's not we come in and we take over for brand X. Maybe we get a foray into their brake business, or we have their brake business and we expand into starters and alternators. I think the biggest thing that we've done is a couple of things, and this is what we're hearing from our customers. Number one, we have improved our core execution. And whether that's inventory in our stores, whether that's great commercial specialists and great drivers giving consistent service, that's the first thing and at times we haven't been as good as we would like on that front. The second thing is we now have somebody out there telling our story. For years we were in the commercial business and there wasn't anybody going to the shop telling our story, and talking to the shop owners about what their challenges are, where are their headaches, where are their pain-points and what can we do to help them. Now we have well over 200 people that are in those locations every day making an enormous number of sales calls, that are telling our story and then also helping us refine where we do have operational issues back in the stores.
Kate McShane : My next question is on what you called out during the call as your driver for comps during the quarter, and I think you had said that the biggest drivers were the age of cars and warmer weather. And I wondered if there was any insight into what it would have been like with more normalized weather, and if warmer weather has any implications for business in the winter months?
Bill Rhodes : The second part of that is an excellent question. That's all a great question. But clearly, we would love to be able to tell you exactly what weather was, but it's really difficult to determine the specific impact. We believe it was a contributor, but it was one of many contributors. Macro factors helped us, but I've got to tell you that the hub store impact, the execution level at the stores - don't forget we ran 20% growth in commercial. I think there were a tremendous amount of factors that influenced it. As far as looking forward, last year we had a pretty extreme weather and this summer we had a pretty summer. Extremes put stress on parts, and I think it would be very understandable to expect that if we have a challenging winter season, that this summer's heat will encourage more part failures in the winter months. If you look at what we've talked about when we talked about the various types of categories where we saw growth, failure was the highest category, and that hasn't necessarily always been the case.
Operator: Another question Michael Lasser, Barclays Capital. Your line is open.
Michael Lasser - Barclays Capital: Now that you're complete with the rollout of the in-hand hub stores, do you think you're providing greater value to customers through broader parts coverage? And if that's the case, does it change your general view of product pricing? Might you take a more aggressive stance for the greater value you're delivering?
Bill Rhodes : Yeah, the answer to the first part of your question is absolutely. There's no question that we're in a much better position to give great customer service. And candidly, on Kate's previous question, we were talking about the fact that commercial customers have multiple suppliers. If we say no to them on a certain part, they're not as likely to pick up the phone and call us the next time. So I think it deepens our relationship with both commercial and retail customers. As far as it having any difference in our pricing strategy, I would say absolutely not. This industry is not one that has tremendous elasticity to it. If we put starters and alternators on sale by 50% off, it's not going to change the demand. We'd pick up a few incremental sales, but not a material amount. So I don't think that parts coverage and expanded parts coverage has any determinant on our pricing philosophies.
Michael Lasser : I was actually thinking about it from the other side. Given the elasticity demand there may be some opportunity to raise prices given the increased value that you're offering.
Bill Rhodes : Well it's a very competitive industry and it's also a very fragmented industry. We compete with all the name brands that you're all familiar with, but we also compete with a lot of mom and pops across the country, and we compete with other retailers, large retailers on certain parts of our assortment, and we compete with the WDs. I think our value proposition is we're not going to be undersold, and we feel comfortable with where our pricing philosophy is and obviously we've been able to generate great margins with the philosophy that we have.
Operator: I'll now turn the call back over to Mr. Rhodes for closing comments.